Operator: Good morning, and welcome to the Celanese Third Quarter 2016 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Chuck Kyrish. Please go ahead.
Chuck Kyrish: Thank you, Gary. Welcome to the Celanese Corporation's third quarter 2016 earnings conference call. My name is Chuck Kyrish, Vice President, Investor Relations. With me today are Mark Rohr, Chairman and Chief Executive Officer; Chris Jensen, Senior Vice President and Chief Financial Officer; and Scott Sutton, Executive Vice President and President of Materials Solutions. Celanese Corporation's third quarter 2016 earnings release was distributed via Business Wire yesterday after market close. The slides for the call and our prepared comments for the quarter were also posted on our Web site, www.celanese.com, in the Investor Relations section. As a reminder, some of the matters discussed today and included in our presentations may include forward-looking statements concerning, for example, Celanese Corporation's future objectives and results. Please note the cautionary language contained in the posted slides. Also, some of the matters discussed and presented include references to non-GAAP financial measures. Explanations of these measures and reconciliations to the comparable GAAP measures are included with the press release and on our Web site in the Investor Relations section under Financial Information. The earnings release and non-GAAP reconciliations have been submitted to the SEC on a Form 8-K. The slides and prepared comments have also been submitted to the SEC on a Form 8-K. This morning, we'll begin with introductory comments from Mark Rohr and then we'll field your questions. I'd now like to turn the call over to Mark.
Mark C. Rohr: Thank you, Chuck, and good morning, everyone. Our prepared remarks were released with earnings last night, so I'll keep these opening comments brief and open the line for your questions. Before I discuss our quarterly results, I’d like to talk about an exciting announcement last night, an agreement to purchase SO.F.TER. Group based in Forli, Italy; one of the world’s largest independent thermoplastic compounders with operations in Italy, Mexico, Brazil and the United States. SO.F.TER. and Celanese are a great fit given our similar design capabilities, excellent technology and a shared focus on developing customer-oriented solutions. This combination will nearly double the number of engineered material platforms available to Celanese and will open new markets to expand upon. The deal will be immediately accretive adding roughly $0.10 to our adjusted earnings per share in 2017 and we expect to increase that $0.10 by two to three times over the coming years. This is a natural and thoughtful step forward in evolution of our engineered materials business, and we’re extremely excited to begin working with the talented men and women at SO.F.TER. to drive value for our customers. Scott Sutton who runs our materials core is here with me this morning to provide additional color and answer your questions about this exciting deal. Shifting to our consolidated results, we generated a record third quarter performance in both GAAP diluted earnings of $1.83 per share as well as adjusted earnings of $1.67 per share. We grew segment income by 4.6% year-over-year and expanded our margin by 250 basis points to 24.1%, our highest ever third quarter performance. These results were driven by record earnings and profitability in advanced engineered materials and resilient performance in our globally integrated Acetyl Chain. We successfully launched 351 new projects in engineered materials in the quarter and remain on pace to meet our goal of 1,200 new project launches in 2016. We continued our pace of cash generation with 237 million of free cash flow and we returned 152 million of cash to our shareholders in the quarter. As we enter the fourth quarter, we are pleased with the success we have had over the first three quarters of the year and we’re confident in our ability to drive value of our businesses, generate productivity gains and to continue to build momentum in new project launches. As such, we are maintaining our expectation to grow adjusted earnings per share by 8% to 10% for the full year of 2016. As we begin to look to 2017, we will continue to expand and grow our engineered materials pipeline and leverage our low cost integrated global network in the Acetyl Chain to best manage the current operating environment we’re in. We have set our sights on at least 1,500 new project launches in the engineered materials space based on the success we’ve had to-date and the capabilities added through the announced acquisition of SO.F.TER. We’ve identified incremental productivity opportunities for 2017 targeting additional $100 million of benefit for the year and rolling it altogether in net of the $0.30 to $0.40 of headwinds in the tow previously discussed, we expect to grow our adjusted earnings per share by roughly $0.60 to $0.70 in 2017 versus 2016. We will refine this initial look as our planning process wraps during the fourth quarter this year and update you with a more informed view in January. With that, I'm going to turn it over to Chuck for Q&A.
Chuck Kyrish: Thanks, Mark. As a reminder, we'd like the callers to limit questions to one question and one follow-up. Gary, let's go ahead and get started.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. Our first question comes from Duffy Fisher with Barclays. Please go ahead.
Duffy Fisher: Good morning fellows.
Mark C. Rohr: Good morning, Duffy.
Duffy Fisher: A question around materials solutions, very nice volume gain, price lower; can you tease out in those numbers how much of that was your new push kind of into non-manufactured molecules in AEM where you’re sourcing those other areas and maybe talk about if you just look at your own business year-over-year, how might those numbers have looked different if you wouldn’t have taken that strategy?
Mark C. Rohr: Scott, do you want to --
Scott Sutton: Yes, sure. Hi, Duffy. If you look at all of our business, of course we add the innovation and technology through compounding to all of it, but most of our platforms today we also manufacture the polymer as well. So really – all of that is ours and all of that comes through the pipeline. You referenced price and a lot of that, that smaller degradation you see is really driven by outsized volume growth in Asia related to the other regions.
Duffy Fisher: Okay, so that was mostly a mix shift to Asia more so than a mix shift to different types of polymers that you’re sourcing from new sources basically?
Scott Sutton: We grew volumes in every single region, it’s just that Asia has been the source of our highest growth over the last couple of quarters.
Duffy Fisher: Okay. And then a question on the cash flow, you’ve guided to better than 850 this year but keeping the 2.5 billion over the next three years, if you just look at the run rate if cash flow basically tracks at the same percentage of earnings and earnings grow the next couple of years, that 2.5 should be higher. Is there a reason that cash flow would basically diverge from earnings over the next couple of years and trend lower or no?
Mark C. Rohr: Yes, we’ll talk more about it when we come out with more complete guidance but Duffy, I think that it will not keep the same pace '16 to '17 that earnings will. And the reason for that is we had a lot of capital expenditure with that methanol plant and there is some bonus depreciation provisions in the tax code that allowed us to accelerate tax deductions on a cash tax basis. So on a cash tax basis, we probably will have higher cash taxes in 2017. Out of the shoot I would probably say, earnings will grow but free cash flow would be flattish in '17, then grow again in '18, still on track for 2.5 billion.
Duffy Fisher: Great. Thank you, guys.
Mark C. Rohr: Thanks, Duffy.
Chuck Kyrish: Thanks, Duffy. Gary, let’s go to the next question please.
Operator: The next question comes from Vincent Andrews with Morgan Stanley. Please go ahead.
Matthew Andrejkovics: Good morning. This is Matt Andrejkovics on for Vincent. I was hoping if you could clarify the $0.30 to $0.40 headwind in 2017 tow and how it translates to pricing and volume forecast?
Mark C. Rohr: You said Matt?
Matthew Andrejkovics: Yes.
Mark C. Rohr: Okay, Matt, this is Mark. I think we said in the past that it’s about 50-50 price and volume. And we’re still in a process of wrapping that up, so that’s still the most contemporary data we have.
Matthew Andrejkovics: Okay, great. And then I was also curious if you could clarify how the VAM margin contraction flows through the various segments and how you’ve mitigated some of the weakness there so far?
Chris Jensen: Yes, I’m not sure I really can answer that. What I’ll say is that VAM has been weak as we came off of the coatings – the coating season started to slow down but we’re already starting to see some tightening in that business as we enter the fourth quarter and have some good expectations of a stronger market next year.
Matthew Andrejkovics: Great. Thanks, guys.
Chris Jensen: Thanks, Matt.
Chuck Kyrish: Thanks, Matt. Gary, let’s move to the next question.
Operator: The next question comes from Laurence Alexander with Jefferies. Please go ahead.
Dan Rizzo: Good morning. This is Dan Rizzo on for Laurence. Can you just give just some color on regional sales trends particularly with automotive in the U.S. and Europe in September, just what you’re seeing if there’s anything to pull down or how are things just fairing up?
Mark C. Rohr: I’ll comment on auto, then maybe let Scott comment just on the overall trends if that’s okay, Dan. Everybody has access for the data and if you look at the trends, the year-over-year trends we’ve had pretty flat in the U.S. I think we’re up a tenth of a percent or so and in Europe maybe 4% increase and in Asia maybe 4% as well increase if you look at from a year-over-year point of view. From a trend point of view looking forward, I think the consensus view is that again U.S. is going to stay pretty flat, growing a little bit. Expectation of slowing in Europe, I think they’re forecasting next year 1.3% growth versus a stronger growth, about 4% this year. But again, we are so – we’re in so many markets there. I don’t want you guys to overreact – you shouldn’t overreact. We don’t overreact all that moving around because I will roll in, in this business, this is a very solid product. So we’re not dependent on growth of new car builds per se to really drive value here. Scott, do you want to comment about regional growth trends in other areas?
Scott Sutton: Yes, I would just add in engineered materials in the third quarter, we grew the volumes roughly 12%. But if you look at by region, Asia is above 20%; Europe’s running along that same 12% pace and Americas is a bit below that. But I would say our growth in auto segment was actually a bit less than our growth in other segments.
Dan Rizzo: Okay. But it would seem that – given the strength in those numbers picking in AEM, that’s more of a function of you guys taking share and then introducing new products versus the overall trend for the end markets, correct?
Scott Sutton: I don’t really think it’s so much about taking share, right, unless you think of it as coming up with a new solution to replace other out of time materials. It’s really about closing projects and gaining business through technology and solutions.
Dan Rizzo: Okay, that’s what I was kind of referring to. Thank you, guys.
Mark C. Rohr: Thanks, Dan.
Chuck Kyrish: Thank you. Gary, let’s move to the next question please.
Operator: The next question comes from Frank Mitsch with Wells Fargo Securities. Please go ahead.
Frank Mitsch: Good morning, gentlemen, and congrats on a nice quarter. Mark, if I could try and get a better sense as to how the quarter progressed, my sense is that the start to the quarter might not have been as robust as you guys were ultimately able to achieve. Can you talk a little bit about the pace of business throughout the quarter and then as we enter into Q4 here?
Mark C. Rohr: Yes, we started the quarter with a view of a little bit more flatness. I think we had talked about that with you guys there. So as we got into the quarter, there was a lot of energy and effort primarily in materials to just really be successful. And so we worked really hard with our projects, we worked really hard in our pipeline, we worked really hard with our customers. Had a few successes more than we had planned and that’s what really drove the value question. I think likewise we have been a bit concerned that the chain business could slide more and they did a phenomenal job making sure that they kept it in check given the slowdown that we anticipated in third quarter in China. So it’s really a material story I think incrementally through the quarter.
Frank Mitsch: All right and that continued into October, the better than expected business trends, is that correct?
Mark C. Rohr: Yes.
Frank Mitsch: All right, great. And then lastly, you’re 30% through on your $1 billion share buyback over '16 and '17. Does the softer acquisition change the calculus there or are you still committed to buying back 1 billion before the end of '17?
Mark C. Rohr: No, it doesn’t change the calculus. We’re still committed to that.
Frank Mitsch: Thank you so much.
Mark C. Rohr: Thank you.
Chuck Kyrish: Thanks, Frank. Gary, let’s move to the next question please.
Operator: The next question comes from P.J. Juvekar with Citi. Please go ahead.
P.J. Juvekar: Hi. Good morning, Mark.
Mark C. Rohr: Good morning, P.J. How are you?
P.J. Juvekar: Good. You described the micro deflationary in your comments and your overall year-over-year pricing was down 9% and a big part of that was Acetyl but AEM was also down 4%. Now that all these parties are stabilized, what’s preventing you from getting pricing or is price increases not sticking?
Mark C. Rohr: I think my comment – plus you have changed that comment. I think we have been in a deflationary environment and P.J. you and I have talked about that on a couple of occasions. There are trends that would say that that’s – I won’t say ending but it certainly has bounced on the bottom and it’s trending back up, everything from the movements we have seen recently in oil, if you look at the movements in coal which have been quite dramatic in China. We’re seeing some movements in methanol. Of course, ethylene is strong. So I think we’re moving back to some inflation. And to answer your question, is there a reason we can’t go get that, the answer is no. We look hard to make sure we can find ways to go extract incremental value and we don’t like eating raw material inflation. But what I will say is that there’s been a bit of a – these things happen very quickly, so sometimes you get stuck for a month or two. But generally speaking I think it bodes well for the establishment of a floor to the deflation that we’ve seen in the world and hopefully some growth is going to start to now occur.
P.J. Juvekar: Okay, thank you. And then on your SO.F.TER. acquisition, how do SO.F.TER. margins compare to yours? And can you give us some ballpark idea of what kind of multiple was paid given the cheap financing? Thank you.
Mark C. Rohr: I’ll let Scott talk about margins.
Scott Sutton: Yes. Hi, P.J. I would say with regard to the margins, they are lower than our base business right now but there’s a lot of opportunity for synergy there, P.J. We still have to close this. We’ll get it closed in December, so we’re really not disclosing the price. But just to give you a feel for the size of it, it’s roughly $300 million a year in revenue.
P.J. Juvekar: Thank you.
Chuck Kyrish: Thanks, P.J. Gary, let’s go to the next question please.
Operator: The next question comes from David Begleiter with Deutsche Bank. Please go ahead.
David Begleiter: Thank you. Good morning.
Mark C. Rohr: Good morning, David.
David Begleiter: Mark, you announced some price increases in Sea gas [ph] the last week in China. Can you talk about right now what’s happening in China from an acid perspective and how you see those market conditions progressing through into next year?
Mark C. Rohr: Well, I think right now at this moment, the trends in China are good. We’ve seen some traction on pricing in there driven by I think David the residual effects of the inflation in coal and in methanol. Capacity utilization rates are still quite low in China but we’re seeing some evidence of apparent tightening in the marketplace. So I think the trends are good with that. We also have by our math maybe 3 million tons of methanol consumption coming into that market through MTO expansions as we enter next year, so kind of like the first half of the year which is also going to bode well for keeping the pressure on methanol and hopefully getting some more inflation there. So I think – what I’ll just say to you is that we’re encouraged by what we see but it is at the end of the day movements in what is a market that is still pretty sloppy. So we will take it day by day here and give you guys a better update in January.
David Begleiter: Very good. And Mark just on the M&A pipeline, how is the pipeline now ex-SO.F.TER. Are there SO.F.TER. opportunities out there going forward?
Mark C. Rohr: Yes, sir. We hope to make this habit of routinely announcing new deals.
David Begleiter: Thank you very much.
Mark C. Rohr: Thanks a lot, David.
Chuck Kyrish: Thanks, David. Gary, let’s go to the next question please.
Operator: The next question comes from Bob Koort with Goldman Sachs. Please go ahead.
Bob Koort: Thanks very much. Good morning.
Mark C. Rohr: Good morning, Bob.
Bob Koort: Mark, can you just talk a little bit about – I know you mentioned coal prices are up, certainly up more than that methanol is up. You guys do better in that environment because you can produce out of Singapore or how do you flex your plans and how do you optimize that given you’re buying coal-based and methanol-based inputs in China?
Mark C. Rohr: Well, if you look at it today there’s probably order of magnitude if you look at coal prices today in China, there’s anywhere between $50 and $100 a ton depending on how you do the math, advantage of being in Singapore on oil base versus the coal base in China. And of course when oil gets back at $100 range, that situation reverses, Bob. So right now it’s our advantage that we’re running very, very hard in Singapore and moving that material mostly outside of China. We can also move into China as well and compete in regions or areas of China we don’t normally compete in.
Bob Koort: Got it, thank you. And then on filter tow, can you give us some characterization of how you see the market in and outside of China, maybe some comments around pricing or operating rates? I know you talk about resetting annual contracts and your competitors have talked about multiyear contracts. Can we speak to any developments there? Thanks.
Mark C. Rohr: I’ll let Scott – Scott, do you want to give it a shot?
Scott Sutton: Yes, sure. Yes, thanks. Overall, if you think about outside of China, industry utilization is roughly around 80%, we’ve said that before and it’s sort of sticking there. But when you take a look at China, the assets that are on the ground in China run full out all the time. What has changed is the imports going into China and we don’t see that dropping imports changing over the next couple of years.
Bob Koort: Great. Thank you.
Mark C. Rohr: Thanks, Bob.
Chuck Kyrish: Thanks, Bob. Gary, let’s move to the next question please.
Operator: The next question comes from Jeff Zekauskas with JPMorgan. Please go ahead.
Jeff Zekauskas: Thanks very much.
Mark C. Rohr: Good morning, Jeff.
Jeff Zekauskas: Hi. Good morning, Mark. In your AEM business, I think your revenues were flat sequentially but your volume was up 16% year-over-year. I think maybe it was 8% in the second quarter. Why is it that there was so little revenue change sequentially? Were volumes up sequentially or were they flat, how do they compare?
Scott Sutton: Yes, sure. Okay, yes, thanks. This is Scott. And what I’ll say is sequentially, Q3 is just not quite as big a volume quarter for us traditionally. So you see some slight drop in volumes sequentially. But what’s interesting this year of course the volume drop is not as much as it’s been in the past. Certainly just like you said, year-on-year volumes are up quite a bit and that’s the perfect comparison to do, because it’s the demonstration of the pipeline.
Jeff Zekauskas: Okay, great. And then for my follow up, is SO.F.TER. a competitor of yours or who are SO.F.TER.’s key competition? And is the benefits that you expect to get from the acquisition more cost reduction or is it from a faster rate of growth or if you had to balance those two factors, how do you see it?
Scott Sutton: What I would say about SO.F.TER., they’re not a competitor of ours. This is very complementary. If you think about Celanese, we have nine different polymer platforms that we operate out of. SO.F.TER. adds eight more to us. So we go from 9 to 17. What’s interesting is about three of their platforms are in engineered thermoplastics which we are too but six are actually in the soft stuff, elastomers or TPEs and I think there will be very good integration of customers and channels as well as we get those additional selling opportunities. So following on that, the main uplift are synergies. A lot of it is going to be more solutions, better business, bigger positions with customers. There’s also going to be quite a number of manufacturing and supply chain enhancements too, so you get the lift from both cost synergies as well as revenue synergies.
Jeff Zekauskas: And who are their key competitors?
Scott Sutton: Well, I guess there’s a number but if you look at other people that are in elastomers, that’s really your best view of who might see SO.F.TER. as a competitor.
Jeff Zekauskas: Okay, great. Thank you so much.
Chuck Kyrish: Thanks, Jeff. Gary, let’s go to the next question please.
Operator: The next question comes from Jim Sheehan with SunTrust Robinson Humphrey. Please go ahead.
Jim Sheehan: Good morning, Mark. Is your view that you expressed on the filter tow business for 2017 really any different today than what you’ve communicated previously?
Mark C. Rohr: No, it’s still within that range and that’s as good as we can call it today, Jim. I don’t see it being better than $0.30 down. I don’t see it worse than $0.40 down. So it’s somewhere in that range.
Jim Sheehan: Great. And then Acetyl Intermediates, can you elaborate more on what you mean by commercial strategies benefitting you in 2017? How much of that is sort of better supply-demand in the market and how much of that is sort of strategies that you’re bringing to bear?
Mark C. Rohr: Well, I think the strategic way we work that business has not changed, Jim. We’re very active and very aggressive and really making sure we understand the market, understand the windows of opportunity to move materials around and we’ve found ways to take advantage of that given our global mix in both production and distribution logistics. What I’m trying to say in there is I think we’re seeing affirmation of the bottom and upside in that business and there’s a subside what we always see is more opportunities from this because of that. And you ought to see incrementally more margin appearing in the products which gives you more ability to benefit from the steps you take. So, we think the platform is strengthening but I’m a little cautious in how much to boast about that right now because the market is really in a tremendously – situation that’s tremendous over capacity and we’ve not had a lot of weeks or even months of good performance yet.
Jim Sheehan: Thank you.
Chuck Kyrish: Thanks, Jim. Gary, next question please.
Operator: The next question comes from Mike Sison with KeyBanc. Please go ahead.
Michael Sison: Hi, guys. Nice quarter, almost as nice as the [indiscernible].
Mark C. Rohr: Thanks, Mike.
Michael Sison: You’re welcome. But just curious in terms of AEM, you’re on track to generate 200 to 300 new launches this year and then you talked about another 200 to 300 for next year. EBIT went up 60 million to 70 million in '16. So, is that a good rule of thumb for what the launches produced in terms of EBIT as we head into '17?
Mark C. Rohr: Yes, I think we’re all shaking our head yes. I think that’s pretty reasonable.
Michael Sison: And does the '17 outlook include SO.F.TER. in terms of launch?
Mark C. Rohr: In theory it does.
Michael Sison: Okay. And then last question, in terms of how you’re going to get this business to be two to three times better, is it just simply moving them into this new product launch process and just driving revenue in that business?
Mark C. Rohr: It’s mostly revenue. That’s right. We’re not looking at this as having tremendous synergy effects but we do think there’s going to be tremendous impact in our ability to work together. These are great men and women in SO.F.TER. and they do a phenomenal job well, well respected by the customers like we feel we are, and we’ve already had a number of complimentary kind of calls of folks that are, one, glad we’re doing the deal and glad to have more opportunities to work with us. So it’s really all about growth and commercial performance.
Michael Sison: Great. Thanks.
Mark C. Rohr: Thanks, Mike.
Chuck Kyrish: Thanks, Mike. Gary, next question please.
Operator: The next question comes from Arun Viswanathan with RBC. Please go ahead.
Daniel DiCicco: Hi. This is Dan DiCicco on for Arun. Thank you for taking my question.
Mark C. Rohr: Dan, how are you?
Daniel DiCicco: Good. As has been mentioned, we’ve seen spot methanol, acetic, VAM all take up to begin the quarter. Can you talk about how this could impact margins just along the chain in the quarter? And then is there kind of any lag effect that we should be thinking about?
Mark C. Rohr: Well, there’s always a little bit of lag effect but margins have been so low that it’s a pretty modest impact right now. We need to see – to be honest, we need to see more of it sticking and we probably need the next round of increases really to start to see material impact. I think this is a 2017 story versus a 2016 story, Dan.
Daniel DiCicco: Okay, thanks. And then as a follow up, you guys provided expectations of $0.35 to $0.45 of EPS from new product launches in 2017. Do you guys have a similar number for 2016 in terms of the new products?
Chris Jensen: Dan, I would answer the same way. You see the projected growth from '15 to '16 and all that was really predicated on the new project launches that we had. And we grew in '16 almost 300 projects over '15, so you get the same kind of cycle going.
Daniel DiCicco: Okay, great. Thank you.
Chuck Kyrish: Thanks, Dan. Gary, next question please.
Operator: The next question comes from Aleksey Yefremov from Nomura Securities. Please go ahead.
Aleksey Yefremov: Good morning. Thank you. Just to confirm, the $0.35 to $0.45 growth in AEM that you expect next year, does that include the $0.10 contribution from SO.F.TER. acquisition?
Mark C. Rohr: Aleksey, we’re saying yes but you have to understand this is a very early spin on that, so I wouldn’t read – I like us to be within $0.10 of being totally accurate on all these numbers. But right now we’re saying yes.
Aleksey Yefremov: Okay, great. Thank you. And your press release mentions that you have some new products within orthopedic devices. Can this potentially be a much bigger business and what types of devices or implants are you involved in right now?
Mark C. Rohr: That’s a prior press release.
Scott Sutton: Aleksey that’s probably from a prior press release but of course we’re involved in a couple things; knee implants, hip implants, these kind of things. We’re also involved in drug delivery devices where our materials are actually the excipient. We do have some new development in the drug delivery area. Most of our medical development is actually in devices that are outside of the body, and we have quite a number of projects in our pipeline for that.
Aleksey Yefremov: Great. Thank you very much.
Chuck Kyrish: Thank you. Gary, next question please.
Operator: The next question comes from John Roberts with UBS. Please go ahead.
John Roberts: Thank you. Back to the SO.F.TER. competition question, are most of the competitors back integrated into resin production or polymer production as well or is SO.F.TER. competition primarily compounders and not integrated like SO.F.TER.?
Scott Sutton: John, this is Scott. I would say that you have both. You have some primary players that are back integrated into let’s call it one or the other polymers, right, but you still have quite a number of independents that are involved in adding the technology through compounding and through solutions with the customers.
John Roberts: Okay. And then --
Mark C. Rohr: John, let me just add a comment on that. What we have found in this business is there is pure and unique polymer technology in some areas and there’s pure and unique compounded technology in some areas. And in both cases they’re sort of generic material. So we’re all about that technology. So when we look at a group like SO.F.TER. and work with them, they bring a lot of unique and not easily reproducible technology through their compounding process, like we do. And so we don’t at all look at that as being a disadvantage of not being back integrated. In fact, it’s a real advantage because you can really go out and buy different materials and really play a pretty strong game in raw material base.
John Roberts: And then on Slide 4 where you have Step 6; next project system step-up, is there an easy way for you to just remind me what that encapsulates?
Mark C. Rohr: Yes, sure, John. As we add more and more here, we’re driving to an outcome where we’re able to launch 2,000 projects a year instead of the 1,300 that we’re at now. And so it just involves adding capabilities to our unique model and our unique pipeline system where we’re able to represent the broadest platform in the industry to customers and we’re also able to juggle the 6,000 projects at the same time that it takes to launch 2,000. So that is really just enhancing our model. You see it as Step 6 on this slide.
John Roberts: Okay. Thank you.
Chuck Kyrish: Thank you. Gary, next question please.
Operator: The next question comes from Hassan Ahmed with Alembic Global. Please go ahead.
Hassan Ahmed: Good morning, Mark.
Mark C. Rohr: Good morning, Hassan.
Hassan Ahmed: Just wanted to chat a bit about the AI guidance you had given for 2017. You talked about $0.25 to $0.35 of year-over-year increment in '17. Just trying to get a sense with all the moving parts; coal prices rising, methanol prices rising and the like, what sort of a methanol pricing environment are you baking in this $0.25 to $0.35 increment? And associated with that just purely directionally, are you talking about further increments in methanol pricing and then you being able to pass those along and then some? Just trying to get a sense of direction.
Mark C. Rohr: What we do this time of year, so we go through a process of really range funding on what we think the value of our machine can deliver through the next year. So you need to appreciate these are pretty superficial numbers. We’ve not taken credit for any kind of extraordinary enhancement in methanol pricing and margin. It could in theory roll through the chain if that happens. What I will say is that the trends are encouraging with that regard. But there’s not baked into these numbers a miraculous recovery in margins out there. It’s what we will deliver kind of with things the way they are.
Hassan Ahmed: Okay, fair enough. And as a follow up, obviously much said about the tow business. You’re taking about continued weakness in '17. As I look at it, it’s obviously a relatively consolidated business, right. But are there opportunities out there? Are people in the industry talking about further consolidation if possible at all? And if that is the case, would you guys consider yourselves consolidated or would you – if the environment continues to remain sloppy, would you guys potentially consider even divesting that business?
Mark C. Rohr: Let’s start at the top. I think the business has historically been well managed by the players that are in the business and they’ve been very thoughtful, and I think they will continue to be thoughtful as we go forward. The offsets occur because of the reduction of imported material going into China, which we’ve talked at length about. And we’ve been very clear, as usual, the first ones to talk about that stuff. So we’ve laid that out pretty well, so you get off from a 100% as Scott said to roughly 80%. So the choppiness you’re seeing now is really that. It’s more that than fundamental decline in cigarette consumption. In fact, we saw some data the other day that would indicate through all this mess and struggles within China that they’ve gone from 2.5 trillion or 2.6 trillion, let’s say, sticks down to 2.4 trillion to 2.5 trillion, so a 6% to 7% kind of reduction in volume. So there’s been a disproportion of the impact of this. So I think the fundamentals of the business are still very good. What I’ll also say is the industry has independently done a lot to rationalize capacity. This was a business that was in the fibers business. So you think definitely larger capacity in terms of unit operations and what we have in place today. So my belief is the industry will continue to be good stewards and my belief is this very easy to understand sequence that we’re going through will work its way through the system in the years to come out there. Will the industry have opportunities to consolidate further? Yes, perhaps. Solvay is rumored to be selling their business, I don’t know the status of that, but you guys can call them and see if that’s true or not. So I think there are other people who do look for whether they should have other options that are out there, but as for us we’re focused on what we do and what we can control and that’s kind of where our headset is.
Hassan Ahmed: You do consider your business pretty core.
Mark C. Rohr: Pretty core, is that what you said?
Hassan Ahmed: Yes, as in you won’t really be a seller, would you?
Mark C. Rohr: Yes, we like it. It makes tremendous amount of money and I know it causes people a little bit of anxiety but I think if you look at it, be mindful there’s a zero tax base on this; be mindful that you’re selling the business is we will have some [indiscernible] over. It’s hard to see how it makes economic sense for shareholders to sell it.
Hassan Ahmed: Very helpful. Thanks so much, Mark.
Mark C. Rohr: Thank you.
Chuck Kyrish: Great. Thank you. Gary, next question please.
Operator: The next question comes from Kevin McCarthy with Vertical Research Partners. Please go ahead.
Kevin McCarthy: Yes, good morning. Mark, the SO.F.TER. deal is the first chunky one we’ve seen in a little while and I was intrigued by your comment that you expect to make a habit of new deals down the road. Can you talk a little bit about the recent upgrade to investment grade and where you see balance sheet leverage trending over the next couple of years? Is it the case that you would consider yourself underleveraged or more in the case where you’re looking at deploying excess cash and keeping the balance sheet in the same zip code?
Mark C. Rohr: Let me start with that, so I’m going to put Chris in a box to say we’re definitely underleveraged but Chris why don’t you take it and explain the point.
Chris Jensen: Well, I guess now I know how to answer that question. How much we take on is really going to be correlated to whether we can continue to successfully close some acquisitions. And as Mark mentioned, we’re excited about that becoming more of a habit. So yes, there could be some more leverage. We closed this last bond seven years at one and an eighth, so that’s extremely attractive for us and we’re just trying to think our way through how we turn that into an advantage. By the same token, we understand the constraints of being an investment grade company and we’ll work with that.
Mark C. Rohr: Kevin, what we’ve really been doing is we’ve been working for a long time to do two things. One is to build a model. If you look particularly at materials, build a model that is leverageable. So we think we’ve done that and part of that process, as Scott has outlined and shows on Slide 4 I guess it is, is that we think the ultimate test of this process, the ultimate proof of this process will be our ability to go out and acquire businesses that are good fundamental businesses but have not been levered the way we will lever. By that I mean is with the customer breadth we have and depth we have of product. And so we believe that we will be able to take this and multiply the value of this several times. And so you need to think of us as having a view that we can spend a little bit of money, a modest amount, a reasonable amount of money given our cash flow to take on reasonable leverage and get multiples out of that. And so we look at this as a multibillion-dollar accretive model for our shareholders and that’s what we’re focused on doing. So this is the first and we believe there will be many more and that’s why in – next year and year after that and year after that is keep growing this out and that machine should add – it’s going to add a lot of value for our shareholders.
Kevin McCarthy: I appreciate the color there, Mark. Second question if I may on productivity, would you address where the 70 million in identified savings might be coming from across your portfolio maybe on a segment basis? And I don’t know if it’s premature on the incremental 30 that would get you to 100, but if you’ve got any insight into fertile ground for digging there, we’ll be interested?
Chris Jensen: I think we can provide a little more on that in the next call. It is all around the business though it’s not just focused in any one area. I think you can generally think of a lot of this coming from the supply chain. So the good folks at our plants just have a tremendous history of figuring out better ways to do things year-in and year-out. So a lot of this is energy reduction, a lot of it is figuring out how to use lower grade materials and in some cases that’s been worth tens of millions of dollars on a given project. So it’s pretty ingrained in the organization. It’s a skill set that we’ll bring to bear as we continue to do these acquisitions as well.
Mark C. Rohr: In January, we’ll give a better distribution of that.
Kevin McCarthy: Great. Thank you very much.
Mark C. Rohr: Thanks, Kevin.
Chuck Kyrish: Thanks, Kevin. Gary, we’ll take one last question.
Operator: The last question comes from David Wang with Morningstar. Please go ahead.
David Wang: Hi. Thank you for taking my question. I just had one on the margins within AEM. They’ve come up quite significantly over the past couple of years and I think they’re perhaps some record levels now. I was wondering what you think about the sustainability of these margins considering the same pricing decline at least on a year-on-year basis; however products sufficiently differentiated that you think the current higher level of margin is the run rate going forward or would you see some more pressure on that going – as you’re looking to the coming years?
Scott Sutton: Yes, sure, David. I would say that most of that margin expansion has come from upgrading portfolio, upgrading projects, upgrading commercial activity. The pricing decline that you do see is more about regional mix. However, going forward you see us doing things like the next step, a SO.F.TER. acquisition there, there could be another one after that. So you might see some decline in margin percentage, sort of a slow one over time but of course that is completely offset by the absolute increase in profit.
Mark C. Rohr: The deals we’re pulling in, generally speaking, David, it’s impossible to match our margins and it’s impossible to match our return on capital. So they will have a diluted impact to some extent, but as Scott said we think that’s going to be easily understood, easily pointed out to folks. So I would think from a big picture point of view you’re going to see it trend down but that’s not a bad thing. It’s going to trend down for a lot of good reasons.
David Wang: And as you guys make these further I guess add-on acquisitions, because we’re lower margin, I was wondering if you can talk about whether or not you think their products are sufficiently differentiated or have some kind of competitive advantage versus what others might be offering? Is there some stability to their margins or can those improve as well for the targets that you would be looking at?
Mark C. Rohr: Scott could give a lot of color on this but we do deals not to just do a financial leverage, we really do deals to create a better business model, and a better business model lets everyone prosper. We take the best of what they do and they take the best of what we do and also we combine those together and you get two and two equal five. And you can perform for your more customers better, extract more incremental value because we’re solving bigger problems. So we don’t look at this like a can of soup on the shelf and we’re just buying a different manufacturer of a can of soup. It’s a different concept to us which is technology, access to markets and application expertise and putting those together in a way that we really can solve any problems. So that platform is what we get when we – and the extension of that platform is what we get when we bring in a new great company like SO.F.TER., and that’s how we extract higher value than let’s say with the value that can of soup is the base of.
David Wang: All right, great. Thank you.
Mark C. Rohr: Thank you.
Chuck Kyrish: Great. We’ll wrap things up here. Thanks everybody for your time today. We’ll be around for questions later today. So, Gary, at this point, I’ll turn the call back over to you.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.